Operator: Good morning, ladies and gentlemen. Welcome to Vale’s Conference Call to discuss the First Quarter 2015 Results. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session, and instructions will be given at that time. [Operator Instructions] As a reminder, this conference is being recorded and the recording will be available on the Company’s website at vale.com, at Investors link. The replay of this conference call will be available by phone until May 06, 2015 on, 5511-3193-1012 or 2820-4012, access code 2029237 pound key. This conference call and the slide presentation are being transmitted via internet as well also through the Company’s website. Before proceeding, let me mention that forward-looking statements are being made under the Safe Harbor of the Securities Litigation Reform Act of 1996. Actual performance could differ materially from that anticipated in any forward-looking comments as a result of macroeconomic conditions, market risks and other factors. With us today are Mr. Murilo Ferreira, Chief Executive Officer, CEO; Mr. Luciano Siani, Executive Officer of Finance and Investor Relations, CFO; Mr. Peter Poppinga, Executive Officer of Ferrous Minerals; Ms. Vânia Somavilla, Executive Officer of Human Resources, Health & Safety, Sustainability and Energy; Galib Chaim, Executive Officer of Capital Projects; Mr. Umberto Freda, Executive Officer of Logistics and Mineral Exploration; Ms. Jennifer Maki, Executive Officer of Base Metals; and Mr. Clovis Torres, General Counsel and Chief Compliance Officer. First, Mr. Murilo Ferreira will proceed to the presentation and after that, we will open for questions-and-answers. It is now my pleasure to turn the call over to Mr. Murilo Ferreira. Sir, you may now begin.
Murilo Ferreira: Ladies and gentlemen, welcome to our webcast. Thank you all for joining us to discuss our first quarter 2015 results. First of all, I’m pleased to report that despite a decline in commodity price, Vale maintaining its leverage reduced cost and deliberate $1 billion in asset sales. We had a solid operational result with production records in copper and gold, as well as the higher production of iron ore and nickel for our first quarter. In the first quarter, we achieved a reduction of over $560 million in cost and expenses when compared to first quarter 2014. Our general sales and administrative expenses decreased by over 30% and our pre-operating and stoppage expenses decreased by roughly 18%. As I will comment later on in what are the deals, we have reduced our costs and expenses in iron ore including freight costs by $13.10 per ton in the first quarter of 2105 when compared to the fourth quarter of 2014. We have also reduced our sustaining investment by $4 per ton. In the quarter, we have recorded CapEx of $2.2 billion. Now, I would like to highlight that our CapEx is accounted for on a cash basis and inventory on a structural [ph] basis. This $2.2 billion were amounted to roughly $1.9 billion. This lower CapEx number indicates more accurately our CapEx trend for the following quarter. In this quarter, we divested over $1 billion with $900 million coming from the gold stream transaction and $100 million from the sale of minority stake in the Belo Monte hydroelectric power plant. Despite our efforts in good results in reducing costs and expenses, this environment of lower commodity price to get the two on adjusted EBITDA which decreased to $1.6 billion. Our gross debt decreased by $320 million amounting to $28.5 million with a cash position of $3.7 billion prior to the distribution of the $1 billion in dividend is scheduled to be paid today. I am proud to announce that iron ore achieved a higher production in the first quarter. Adjusted EBITDA for iron ore and pellets reached $1 billion decreasing over a $600 million from the last quarter. This decrease was primarily leaving a lower iron ore sales price. As we have forecasted in our results call in February, our iron ore cash cost decreased by $3.40 per ton to $19.80 per ton. If our cash cost represented excluding rights. On the same basis of our competitors, our cash cost will be $18.20 per ton. Nevertheless, we are not such right in maintain our relentless focus in costs and expense reduction. We also forecast our freight cost also decreased by about $4.50 per ton to $17.20 ton as a result of the positive impact of lower bunker in our contracts and of lower stop rate costs. In our total expenses excluding SG&A, R&D and pre-operating expenses were reduced by $5.20 per ton from $9.20 per ton to $4 per ton. As I mentioned in the beginning of this call, we decreased cost and expenses in the first quarter 2015 versus fourth quarter 2014 by $13.10 per ton including freight, excluding the hedge account impact in bunker oil. However, iron ore price dropped by $12 per ton in the first quarter of the year. In addition to this price decline, our price realization was negatively impacted by almost $7 per ton from our price system, mainly our provisional price mechanism in the fourth quarter 2014 and the first quarter 2015. This represented a negative impact of about $450 which will not happen again if price is stabilized. Base metal adjusted EBITDA amounted $678 million in the quarter represent an increase of about $100 million when compared to the last quarter. It’s fair to say that our base metal EBITDA was impacted by the gold stream transaction. However, I would like to call your attention to our low operational costs in the quarter and to Solobo EBITDA which reached $100 million. With coal, we continued to develop our projects which are key to our long term business profitability as we eliminated the existing logistic bottleneck in Mozambique. We achieved 86% physical process in Moatize II and 85% in Nacala Corridor. Ones again, we saw improvements in the fertilizer adjusted EBITDA which increased by 20% quarter-on-quarter, despite the impact of lower sales volume and prices. Looking forward, we expect Brazil fertilizer demand to increase this year, despite of our weak first quarter. [indiscernible] we will probably increase in the second half of the year to provide for this summer. To enter this deal, we will be higher to set the basis for an even more competitive and profitable company as we intensify then consolidate our cost cutting effort delivering productivity improvements and increase our production volume. The opening of N4WS mining, they are ramping up of the Itabiritos project will also be important milestone leaving to big improvement in the quality of our products. Despite the challenging market scenario, we’ve remained confident on delivering of a strong results and our ability to deal with these more challenging times. Thank you so much and let’s now open this webcast for your questions.
Operator: Thank you. Ladies and gentlemen, we will now begin the question-and-answer session [Operator Instructions] Our first question comes from Carlos de Alba with Morgan Stanley.
Carlos de Alba: Thank you very much. I appreciate the opportunity. Just wanted to get your sense us to what potential supplier judgment can we see on the iron ore from Vale, clearly iron ore were close to $47 there may have been some operations in the Southern system that were is breaking even or barely breaking even. Can you comment us to what are the mines or the tonnage that maybe susceptible to shutdown if prices do go back to the $47-$45 level? And the second question maybe for Luciano. Could you help us understand a little bit what happened to debt in the quarter, when we looked at the cash flow statement, debt appears to have increase by about $1 billion, however in the appendix three of the press release, it shows that total debt basically fell by less than $500 million from the fourth quarter. So you can help us understand or reconcile those numbers, it would be appreciated? Thank you very much.
Murilo Ferreira: Hi Carlos, thank you very much for your question. And so it is very important to - this is a very important question. And we have to differentiate between having a certain capacity and actually utilizing it moment of what. So Vale already committed its investment in logistics in the Nacala Corridor, right, will take us from today’s 350 to 450 million tons capacity. This is 410 for exports and 40 for domestic market and we will of course aim to maximize its utilization rates, right. So this is a given. However, Vale will operate with a mature eye on the markets particularly with a long view on the tendency for Chinese production, so that we make sure that we maximizes value and the returns to our shareholders. So this means concretely that we - the reason to improvements in licensing conditions particularly when you look at Carajas. And it means also that with our several new Itabiritos projects ramping up now in South and Southeastern system. We know can optimize our upstream operations in mines. So it enables us to close higher cost and lower quality production flows if necessary in those systems according to market conditions. All this in our quest to improve overall margins and if you check the - if we - we will get the production flows, we are constantly analyzing and watching and it could be up to 30 million ton in the South and Southeastern system, it’s already dismissed as we know but it’s not necessarily going to happen. It’s out discretion according to the market developments. So in a nutshell, the capacity will be there 450 million ton and we are going to use it according to the market conditions. Thank you.
Luciano Siani: Carlos, I’ll give you an explanation what happens with our debt position when the real devaluates and then reconcile with the overall picture. When you have a debt position denominated in reais and the real devalues, when expressed in U.S. dollars this falls, right. On the other hand, you have a derivative loss. So part of the loss that you mention, the $1 billion that we raise were actually used to repay those losses on derivative positions, which in a nutshell it works as if we’re repaying part of your debt in reais because actually the debt in reais instead of when it’s relate to U.S. dollars it’s kind of becoming constant, it reduces by the devaluation, it generates a loss, but then you have to settle this loss by paying cash, right. So you don’t see the cash flow statement, but actually the $1 billion that gets in, most of it was used to repay the derivative positions which is the counterpart of the reduction of that denominated in reais. So although we are looking at our total debt is to summing up the total gross debt with the open derivative position. You will see that also in this metric that total debt was somewhat stable as well.
Operator: Our next question comes from Alex Hacking with Citigroup.
Alex Hacking: Hi, good morning and thank you for the question. The first question is around the cost savings. Firstly congratulations on the very strong cost savings in the iron ore in the first quarter. I know it’s not easy. As we look forward, I think you talked on the Brazilian call about another $2 per ton of cost saving, is that just referring to at the mine level and are there further possible cost savings in freight or other areas? And then I guess the second question would just be Vale could give us your view on sort of the mid-term iron price, I know iron ore forecasting is very difficult, but what do you view is kind of a sustainable level over the next say five years based on your view of the cost curve in Chinese steel production? Thank you.
Luciano Siani: So - hi Alex, thanks for the question. On the cost guidance we gave here, we are confident with that we can take out another $2 this year and we are only speaking about - I talking cast cost until the port of course including royalties. So we are aiming for $17 this year. This percent exclude of course that we - in the next year ones you have S11D coming and also other logistics change optimization and more dilution of fixed cost debt. Of course, we will bring cost down even further, but for today’s for this year’s cost guidance, we are aiming at least $17 cash. And this includes - and this at the same, at the similar level of exchange rate. Now on the iron ore price, I really - as you know the volatility is very high and we are really - it’s a difficult task to forecast iron ore prices. For me, the 47 or the under 50 was clear under shooting. However there is lot of supply coming on stream and the demand in China is there are some mixed signals as you know. We saw some reaction in the steel market, we saw some restocking going on. But to extrapolate the iron ore price from there is really not my goal today. So that’s it, I sternly believe that we are very well positioned. You would see a different Vale is the next months, quarters and years. We’re very focused on productivity and cost cutting of course also have some safety more and more. And we are going to give priority over the margins then over the volumes. Although as I said before, we will have the capacity to go to 450 million tons with the S11D which continues progresses very well in terms of project implementation. However we will also look at the market conditions. And according to the market conditions, we are going to adjust some of our production levels in the South and Southeastern system.
Murilo Ferreira: Alex, Murilo. Just to highlight on that first note as well as that daily production in April in China reaches to the highest rate since September 2014. I think that is a good signal as well. But I have to call your attention for a message of the Mr. Chairman, [indiscernible] is active of China is saying that Chinese mine is less surviving even if the global price of iron ore falls to $60. I think that the message is clear. And again I think that in our view what’s happening in Chinese mine is much more dramatic that most of the analysts are saying. Thank you very much.
Operator: Our next question comes from Wilfredo Ortiz with Deutsche Bank.
Wilfredo Ortiz: Yes, good morning, everyone. Just very quickly on the CapEx, I just wanted to get a better senses is to what is the run rate that you would expect to see for the year given some of the comments that you mentioned earlier on the sensitivities that you provided. And if you could also us a better sense of where the sustaining CapEx could end up being perhaps this year going forward. And then if you could also perhaps remind us of some of the announced asset sales that have already taken place? When will the cash proceeds come in and what are the amounts of those cash proceeds? And again I am talking about announced asset sales and perhaps what’s next to come based on the pipe line of what you are seeing?
Luciano Siani: Wilfredo, thanks for your question. This is Siani. If you look at the release, we provided a table with sensitivities of CapEx to exchange rates, so this is one fact. Also on the Portuguese call, Murilo Ferreira mentioned that we are targeting a level of sustaining CapEx for iron ore between $3 or $4 per ton. And obviously we are doing our best to reproduce the performance of previous years whereby we announced a higher number and we end up the year with a smaller number. So you can count on the same tenacity to pursue a lot of CapEx without jeopardizing the scope of our works. In terms of announced sales, so we already had the proceeds in the first quarter for the gold stream transaction and the sale of $100 million of our energy assets in coast of Brazil. And we announced last year also transactions involving ships of which we haven’t received yet. We announced a sale of four ships to coast on China, so we expect this is a transaction that we expect to close soon. We also announced the core transaction in last year with Mitsui and we haven’t received any money yet, so it’s about $1 billion from Mitsui itself and we expect and we’re working on that we already also announced at that time on the product finance that should bring an additional $2 billion. So these are the amounts related to transactions we have already announced.
Operator: Our next question comes from Tony Rizzuto with Cowen & Co.
Tony Rizzuto: Thank you very much. My first question is just a follow-up on your iron ore flexibility, did I hear correctly that similar to BHP Billiton that you would look to flex production possible to the tune of 30 million tons with some of your less competitive output in the South and Southeastern areas? And then secondly a question on the U.S. market, do you see it as an opportunity particularly as players they are struggling to bring on supply. And was wondering if you could address what you think the cost would be from a capital standpoint and might the cost be if you land material pellets, high grade pellets into the U.S. market, you think you can be competitive there? Thank you.
Murilo Ferreira: Tony thanks for the question. Well, yeah, you are correct. We are not flexibilizing our capacity however. What we are saying is, we stick to our plans which are ongoing in the Nacala Corridor and our capacity goes from 350 million to 450 million tons overall in Vale. And however, what we are saying is that given that we have all those Itabiritos projects now ramping in the Southern system and Southeastern system that we there can really substitute some low margin ores with some higher margin ores. And if necessary if the market requires that, we will analyze up to 30 million ton we are going to reduce production flow, it doesn’t mean that we are going to close mines, but there are mines with several product and several different beneficiation plans where we can optimize it and we would take out up to 30 million ton per year, while keeping our pace toward the 450 million tons capacity in the year. Now the U.S. market is very interesting. Yes, we’re already selling some pellets there but not very much. So given their recent evolution and company driven of DRI plans in the U.S. We are looking at the U.S. and we have several supply agreements already in place through the U.S. However, we are not participating in any capital expenditure or any joint venture in the U.S. but we are going to that we are doing and it’s increasing that our products with pellets mainly. And remember we are going to increase pellet product naturally over the next year that those pellets are becoming are very interesting and very competitive in the U.S. market. Thank you.
Operator: Our next question comes from Jeff Largey with Macquarie.
Jeff Largey: Hi, good afternoon and thanks for the opportunity to ask the question. My first question was just to go back on the announced transactions in term of raising cash. When you talk about the four ships where there’s been - where the deal should close hopefully soon and also thinking about Coal JV. I mean, would you expect that those transactions when you - I assume that they actually close here in the second quarter? That would be my first question.
Murilo Ferreira: Yes for the ships, no for the Coal JV, it should take longer. And we also have other efforts that we are doing, that we expect closer already in the second quarter which goes beyond those two transactions and part of it, it also involves additional sales of ships.
Jeff Largey: Okay, great. And the second question, it was just to still sticking with Coal in Moatize, was just to get a sense given the rains and flooding we saw in the area earlier this year, are there are lingering effects in terms of getting particularly in Nacala Corridor construction complete or is that all sort of behind us and things are moving along smoothly?
Murilo Ferreira: No, we don’t have any problem regarding the Nacala Corridor. We have already transported something around 200 to - from what to Nacala port. And the port onshore is working very well, no problem at all. Thank you.
Jeff Largey: Okay, thank you.
Operator: Our next question comes from Rodolfo De Angele with JP Morgan.
Rodolfo De Angele: Hi. Just I am sorry to insist in the team. Just wanted to follow-up with you on the discretion on the volumes versus market conditions straight off, it was discussed also in the previous call and we started getting few question from investors. So just wanted to make sure I understand with - so this management team has been talking about couple of discipline since for a long time. And in that kind of philosophy there is a mining plan for the years to come in place that considers that you are going to have the new Itabiritos projects that you have and for the U.S. now. And those two project and these plans, you already had the intention I guess to replace higher cost capacity or this particularly with some deflation that we are seeing. So when we are discussing tradeoff volume here, Peter, are we talking about something new and in addition to what has been planned. And I ask this because people have been asking us specifically the number that was discussed on Vale Day of production overall for this share including third part that close to 340 million, could we see that number going lower or is this tradeoff something that you already incorporated in your plans for the year?
Murilo Ferreira: Hi Rodolfo, thanks for the question and opportunity to clarify. You are right, it is what we are taking the volumes versus market is something new. What - revenue recap what is watch the Vale Day 340 tons production guidance. This is one thing. And there is also depletion involved here. We - as you know we produced 330 million, around 330 million and plus including some purchasing in ’14. Now we added new capacity in ’15 around 32 million for Itabiritos projects, part of them already in ’14, the other part in ’15. Then the difference is 32 million tons. Now we are substituting already low margin or 22 million tons are coming out. So the 32 minus 22 are 10, so that means that you add 330 plus 10 gives you the 340 which we announced at the Vale Day. And this is margin optimization, okay. On top of that what we are saying is that we are keeping our capacity plans to 450 million mainly now due to the Nacala Corridor, the investments in logistics which are underway. And but depending on market conditions, now since we have lots of more flexibility in the South and Southeastern system, depending on market conditions we would be able to close higher costs and lower quality product flows in those systems to improve again for the overall margins, of course taking out proportionally the fixed cost as well. And that’s it up to 30 million tons we could do on top of this. So this doesn’t mean that we are going to do it, not, maybe part of it, maybe nothing, maybe all of it, it depends on the market condition, it depends on how can we maximize the margins for our shareholders.
Operator: Our next question comes from Rene Kleyweg with Deutsche Bank.
Rene Kleyweg: Good morning. Just a follow-up on that, the 30 million tons does not include any third party purchase decreases. And what is your obligation in terms of lets a minimum level of third party purchases that you have to make? And then just the second one following-up again on Nacala specifically you ended power supply to the port given weather instructions and so on that we’ve seen and the effects of that on the northern grid in terms of outages Mozambique. How are you getting on or has there been an agreement with the local power supplier in terms of upgrading the network that Vale was potentially going to be contributing some capital towards, is that being - has that reached a conclusion? Thank you.
Murilo Ferreira: Thanks Rene. Regarding the third party orders, we purchased 12 million last year and this year it’s roughly half of that. And most of it is already taking out. So when we say up to 30 million tons means our own production. But gain it’s up to, it doesn’t mean that we are going there.
Rene Kleyweg: And then the obligation to buy from third party.
Murilo Ferreira: The obligation to buy from third party, this is our flexible contracts. Most of them are done on a quarterly or annual basis, so we have lots of flexibility there.
Umberto Freda: Okay, here is Umberto Freda. According to the energy for the Nacala port, we are little bit late to the construction of the line. We will have this lining four or five months, to there we are operating with diesel fuel. This is the information.
Operator: Our next question comes from Thiago Lofiego with Merrill Lynch.
Thiago Lofiego: Thanks gentlemen. I have two questions, just to understand about the timing of the project finance, what’s the expectation there, or that due to one wind. And if it doesn’t happen this year, how would you offset the lack of cash from that deal maybe with other asset sales, so what could be done in terms of leverage if that due doesn’t happen this year for example? And then the second question is to explore a little bit more on your S11D project, I understand the mine and the rail, they have difference CapEx evaluation timing. So would you maybe consider alternative, but would not - but reaching peak production levels of 90 million tons, maybe more likely towards 2020 not in 2018 as you have been pointing through a slower CapEx in the rail, would that be an alternative? Thank you.
Murilo Ferreira: Thiago, Murilo. I think that we can understand that is very challenging decision. With our experience in case of having some delay in this project, we will see increasing costs, is the experience that we have. Then this is regarding to postpone mainly the investment in the railway is something that must be analyzed very careful. About the project finance, Luciano.
Luciano Siani: The timing for the project finance is expected for the fourth quarter of this year. If there is any delay, the plan is to offset that with a two types of transactions first, $1.5 billion with sales of ships which we’ve already commented, part of it has already been disclosed to the market. And another 1.5 billion on the sale of preferred shares into specific assets which are very well advanced these transactions and we expect to close them pretty soon.
Umberto Freda: This is Umberto Freda. We needed to check, we need to analyze in case of having some alternative to postponed but at this point of time, we are not analyzing any kind of changing in the agenda and implementation of the project.
Operator: Our next question comes from Jeremy Sussman with Clarkson.
Jeremy Sussman: Yes, hello and thank you very much for taking my questions. Just one last clarification, trying to get a sense of how soon we could look to see some production adjustments, is this something that we could see in the near future or is this small predicated ones S11D is more up and running and you have a little bit more flexibility on that front?
Murilo Ferreira: Thanks Jeremy. This is not related S11D, this is related to market conditions and our flexibility. We now having the South and Southeastern systems that we can have new capacity coming in substitute out and low margin capacity and going beyond that. So product adjustments are possibility, that can happen in ’15, can happen in ’16, but it has to do with the market and not with - our margins - by the way our margins in the Southeastern and Southern system none of them are negative, so it is a question of adjustments of margins and not - and adjustments of production flows, because you can obtain better margins by mixing things differently. Thanks.
Operator: Our next question comes from Marcos Assumpção with Itaú BBA.
Marcos Assumpção: Good morning, everyone. First question on iron ore, actually just to confirm a number here. The EBITDA per ton on iron ore finds in the first quarter totaled $10 per ton. And I adjusted the price of Vale, instead of the $62 per ton plats after adjusting for the pricing systems, we get actually to price equivalent by $55 per ton, so for finds. So basically I would like to confirm with you guys that if that calculation is right, the breakeven price for Vale in the first quarter was around $45 per ton, so I’d like confirm that? And to see if you are already closer to $40 per ton probably in the second quarter as you continue to cut cost? And my second is regarding the core assets in Moatize, if you could comment a little bit on the expected cost reduction for that operations whenever you start to use the logistics and also you start to increase volume there, so you would more dilution of fixed cost? Thank you.
Luciano Siani: Marcos on the first question - this is Luciano, you are right, the breakeven was $45 per ton. And without any - if you just consider the $2 per ton that was mentioned afterwards in terms of potential cost reduction already 50 and another $2 simply taking out the hedge accounting effects which affected maybe therefore iron ore. This give you already without changing the exchange rates, always remembering the exchange rate on average for the first quarter was 2.84 that we would be already operating near $40 per ton. So as Murilo said, the goal is to go beyond that with our cost cutting efforts. Marcos on the logistics for Moatize, we are expecting OpEx including railway and port of between $18 and $20 per ton which is obviously is a much improved situation compared to the current situation where buyers were paying $60 per ton in the second quarter, so that’s our goal.
Murilo Ferreira: Now the end of the session, I think that it’s time to say thank you very much for your support, for your understanding. And we can say that we continue to work hard in order to deliver our projects below budgets and on time and to be very competitive and discipline in capital location and to bring the best returns for our shareholders. Thank you very much.
Operator: That does conclude Vale’s conference call for today. Thank you very much for your participation. You may now disconnect.